Operator: Ladies and gentlemen, thank you for standing by. I am Gailey, your Chorus Call operator. Welcome, and thank you for joining the OTE conference call and live webcast to present and discuss the second quarter and 6 months 2025 financial results. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Kostas Nebis, CEO, OTE Group; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer Segment, OTE Group; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Nebis, you may now proceed. Mr. Nebis, I'm sorry, we cannot hear you. Can you please start over? Mr. Nebis, you may now proceed.
Konstantinos Nebis: Yes. Thank you. Can I start now? Super. Greetings to everyone, and thank you for joining us today for our second quarter results review. Let me start with the very recent significant development regarding the disposal of our Romanian operations. A few days ago, we received the anticipated approval by the Romanian authorities, a key step in the completion of the sales transaction that will allow us to optimize our portfolio and unlock additional value for our shareholders. I expect that we will be signing the required documentation with a counterparty shortly, leading to a possible completion of the transaction during the third quarter of 2025, subject, of course, to the approval of certain issues by ANCOM, the telecom regulator. Now when it comes to our operations in Greece, I'm pleased to confirm that the strategic pillars we introduced a year ago, when I stepped into the CEO role, are already yielding meaningful outcomes. We have remained focused, disciplined and determined in building the foundations to achieve our vision, and today's results reflect the early benefits of these efforts. We delivered another solid quarter with both revenue and EBITDA increasing once again, supported by broad-based contribution across our four segments. Our strong commercial momentum, our comprehensive portfolio and continued operational discipline led to an improvement in EBITDA growth this quarter, a clear validation, I would say, of our strategy. In fixed retail, I'm particularly pleased to report return to revenue growth after several quarters of muted performance. This turning point was driven by multiple key factors. Our network leadership remains unmatched. Our FTTH network, the country's largest, keeps expanding in both reach and customer penetration. As a result, our Fiber-To-The-Home services continued their strong momentum, reaching a new all-time high of customer additions across both retail and wholesale, a clear testament to the growing demand for fiber connectivity and the trust customers place in OTE. Our success has been supported by the national fiber voucher scheme, stimulating higher adoption and penetration levels across the market. Broadband subscriber trends also turned positive this quarter, fueled by the successful launch and progressive rollout of our Fixed Wireless Access service. Fixed Wireless Access, or 5G WiFi, which is our commercial product name, is gaining traction addressing customer needs for faster broadband speeds in poor copper-served networks as a bridging technology and until fiber infrastructure reaches them. And we have recently enhanced this product with full voice service capabilities, further strengthening our proposition to better serve our customers' needs vis-a-vis alternative infrastructure solutions and providers. Our TV service remains a strong pillar within fixed retail. Our contract partnership with Nova delivers a compelling value proposition for both new and existing customers, driving growth in our customer base and ARPU. Looking ahead, we expect that the implementation of the new antipiracy legislation, cleared by the common ministerial decision a couple of days ago, to further improve the Pay-TV environment, steering the market towards legitimate services. Turning to our Mobile segment. Our service revenue growth significantly accelerated this quarter, fueled by the strength and reliability of our network, combined with compelling commercial propositions and a broad diversified range of services. The continuous migration of customers to contract plans, along with enhancements in our prepaid offerings, are supporting ARPU growth and strengthening our long-term trajectory. Ongoing growth in the Mobile business demonstrates the deep trust our customers place in OTE and reflects our commitment to deliver superior mobile experience through continuous innovation and customer-centric solutions. We remain ahead of competition, operating Greece's only commercially available 5G stand-alone network. Our network excellence has once again been validated by Ookla and umlaut certifications for the Best and Fastest Mobile Network in the country. This suite of unrivaled retail services enable us to remain optimistic against competitive challenges, which are also -- while also fueling our growth targets for the future. The ICT business once again delivered another quarter of double-digit growth, underscoring our ability to support the digital transformation of businesses in the public sector across Greece. This quarter's performance underscores our strong track record, the value creation resulting from our strategic investments and the strength of our integrated services portfolio. With a comprehensive range of bundled offerings and network excellence, we consistently deliver superior customer connectivity, fostering deeper customer relationships, higher loyalty and enhanced lifetime value. With these foundations in place, we remain committed to driving profitable growth and creating long-term value for our shareholders. We are well positioned to capitalize on future opportunities and continue to lead the market with confidence. Babis, on to you.
Charalampos G. Mazarakis: Thank you, Kostas, and welcome to everyone on the call from me as well. Let's start with Romania. Following up on what Kostas mentioned regarding the upcoming sale of our Romanian operations, let me add that we are currently in the process of finalizing the relevant documentation with the parties involved. In parallel, we are also awaiting regulatory approvals for certain key elements of the transaction, including the transfer of spectrum and prepaid customers. Once all these steps are completed, we will be in a position to conclude the deal, which we expect to happen within the third quarter of 2025. As we have stated previously, it is our intention to provide an extraordinary distribution to shareholders. However, as you can appreciate, the exact amount to be distributed remains contingent upon the final agreed consideration between the parties, along with several items to be considered such as adjustments, expenses, provisions, et cetera. We need to focus now on the key priority, which is the completion of the transaction. Once this is achieved, we will provide the market with all necessary and relevant information. Let's now turn to our quarterly figures. For Greece, total revenues increased by 1.1% in the quarter, supported by steady performance across mobile, TV, broadband and ICT services. These gains offset the anticipated decline in wholesale revenues and lower handset sales. On the EBITDA front, we achieved sequential improvement, posting a 2% increase, which strengthens our confidence in meeting our full year growth targets. Specifically, retail fixed service revenues marked a positive turnaround of this quarter, posting a 0.6% decrease (sic) [ increase ] after several quarters of subdued performance. This growth mainly reflects a sustained solid momentum in the TV segment, the positive impact of the Gigabit Voucher program and the expansion of the Fixed Wireless Access services, following the rollout earlier this year. Looking ahead, these drivers, alongside the ongoing expansion of our Fiber-To-The-Home, now covering more than 1.9 million homes in Greece, are expected to continue supporting revenues in the fixed retail segment. On our TV business, we delivered another strong quarter of growth with revenues up 16%, maintaining the double-digit growth trajectory. These trends reflect the full impact of our sports content agreement. Our customer base increased by 7% with a positive gain of 2,000 new customers, a positive outcome, particularly given that the second quarter is typically the weakest one due to the sports program seasoning. Turning now to our Fiber-To-The-Home service. We achieved record retail additions of 40,000 new customers this quarter, bringing our total FTTH base to 470,000, and this represents a 45% year-on-year jump. Our retail Fiber-To-The-Home customers account for 20% of our overall broadband base versus 14% a year ago. This growth, together with continued wholesale demand on our infrastructure, is driving higher network utilization. The market response to the coupons has gained strong momentum. We are now seeing consistent uptake, which is accelerating customer migration. To date, more than 70,000 vouchers for connections have been utilized. Supported by the ongoing expansion of our Fiber-To-The-Home network and our wholesale partnerships in place, our infrastructure is seeing increased utilization, now reaching 31% rate, an increase of 7 percentage points year-on-year. During the quarter, we passed over 100,000 new homes, bringing total coverage to approximately 1.9 million, and we remain on track to reach our target of 2.1 million homes by end of this year. Turning now to our Mobile operations. We see a clear acceleration in service revenues, growing by 3.2%, reaffirming the strong momentum in this segment. Towards the end of the first quarter, we introduced new pricing initiatives in the prepaid segment with the introduction of EUR 15 top-up stand of EUR 13 across our physical channels. This adjustment is supporting our ARPU evolution while also facilitates the ongoing and successful migration from prepaid to postpaid plans. Our postpaid base continues to grow, recording a 6% decrease (sic) [ increase ] in the quarter with 46,000 positive net additions driven by both conversions from prepaid and customer acquisition. Our position as a network leader remains a key differentiator with 5G now covering more than 99% of the population and 5G+ surpassing 70%. Data usage was once again up, reaching 17.5 gigabytes per user per month, representing a 33% year-on-year increase. In wholesale, revenues decreased by 3.3% this quarter, bringing the 6-month impact to EUR 12.7 million, of which the national wholesale revenue accounted for EUR 7.4 million drop, which is largely in line with our full year expectations. The drop is driven by lower international transit traffic and the natural evolution in the national wholesale stream as competitors expand their own fiber networks. However, our existing wholesale agreements are generating higher wholesale volumes from competition with a record of 34,000 wholesale additions in Q2 that allow us to partially mitigate the downside and further increase the utilization rate of our Fiber- To-The-Home infrastructure. On the rest streams of the revenues, our System Solutions, the core part of our ICT segment, delivered a robust 17% growth in the quarter, continuing the strong momentum from prior periods. Building on this trend, we expect the strong growth in this segment to persist throughout the year. The growth in ICT partially offset the drop in the handset revenues, which is largely due to discontinuation of very low-margin activity. Total operating expenses, excluding depreciation and amortization and one-offs in Greece increased by EUR 3.2 million in the quarter, broadly in line with revenue trends. The majority of this increase is driven by costs directly linked to top line growth, including third-party fees within other operating expenses related to the strong momentum in our ICT segment. We continue to exercise cost control measures across the board with ongoing savings particularly evident in the personnel front, where we once more again experienced the benefit from the voluntary exit schemes. While we are increasing spending in strategic areas and our commercial activities, our overall indirect costs declined by almost 2% in the quarter. As a result, adjusted EBITDA after leases in Greece increased by 2% in the quarter compared to 1.8% in prior quarter and 1.6% in the full year 2024. This definitely reflects the continuation of positive momentum we have seen in certain -- in the recent periods. Our EBITDA margin improved to 39%, up 40 basis points year-over-year, driven by retail service revenue growth, particularly in Mobile and TV, which more than offset the expected decline in legacy services and the national wholesale along with certain cost efficiencies that I just mentioned. Overall, this performance reinforces our confidence in achieving our full year EBITDA objectives. A few words about the operations in Romania, which were down 8% in the quarter, reaching EUR 61 million. This drop was primarily driven by ongoing pressure in postpaid segment. Our operations in Romania are still facing a demanding market environment, particularly in the postpaid where competition has further intensified. As a result, Telekom Romania Mobile's adjusted EBITDA after leases was impacted by ongoing pressure on the top line. Let's now have a short look in the rest of the group items. Depreciation was up by 24.7% in the quarter, totally attributed to EUR 40 million write-down recognized in the quarter related to Telekom Romania Mobile. If we exclude the write-down depreciation, that would have been lower by EUR 2 million. Finally, a few words on the cash flow statement. CapEx was up nearly 13% in the second quarter, largely reflecting the investments for the FTTH rollout and higher payments in the quarter related to TV. Free cash flow after leases stood at EUR 155 million compared to EUR 121 million in the comparable quarter last year. The increase is primarily driven by lower income tax payments, which expect to be offset in the second half of 2025 when the corresponding tax payments by OTE are due. Now regarding our guidance, as a last word, we are -- as we have released today, this remains unchanged and pending the completion of the Romanian disposal, when we will be in a position to adjust our key figures and our communication. Now turning to operator. We are now available to provide any further clarification to your questions.
Operator: [Operator Instructions] The first question is from the line of Drazio Stamatios with Eurobank Equities.
Stamatios Draziotis: I hope you can hear me well. A couple of questions from my side, please. Firstly, on Romania, you mentioned a further EUR 40 million write-down in Q2. Could you just clarify what the remaining book value of the Romanian assets is, please? And also confirm whether all net proceeds will be given out as a cash rather than extra buyback, I mean. And secondly, on Greece, you've been flagging that Greece appears to be tracking close to your plus 2% full year target in terms of growth. What has been outperforming your expectations so far? And what may be lagging, if there's any lagging component? And related to that, while it's still early, are there any initial thoughts you would like to share with us on what could be a sustainable EBITDA growth rate beyond 2025 assuming, obviously, the macro backdrop holds around 2% GDP growth in Greece, please?
Konstantinos Nebis: Let me start with the last question first and then I will hand over to Babis for the Romanian details. First of all, we are not surprised or we're not lagging behind any particular business line. Hence, we are reiterating our initial outlook for the year around this 2% of EBITDA growth, which for sure is an indicator, I would say, of what you would expect going forward, I mean, ideally even more if the market and the overall macro environment would allow us. And when it comes to Romania, Babis?
Charalampos G. Mazarakis: Yes. Romania, the current value at the group level is around EUR 50 million after all the accounting settlements. And as we -- I think we were very clear in the presentation that the net debt proceeds, once they are definite upon the closing of the deal, they will be announced and they will be distributed to the shareholders. Now the mix between cash and share buybacks will be decided based on the size of this amount. But this one, please bear with us for hopefully not so long from now when we complete the transaction in order to be quite open and transparent in the market for what the amount is.
Stamatios Draziotis: Okay. Got it. And just a follow-up, if I may. Because obviously, the key benefit for OTE is the tax benefit, in essence, stemming from the disposal next year. So how are you thinking about deploying this windfall? Do you have a targeted distribution ratio in mind also considering the potential spectrum needs in 2027?
Charalampos G. Mazarakis: Yes. This, as you said, the realization of the tax break requires first to complete the transaction. That's first step, step number one. Then it will be realized next year in 2026. And we will announce the shareholder remuneration policy in the beginning of the next year. So we will make it quite clear how we plan to fold all what you said in. So it's in our radar screen, and we'll come back very precisely when the time matures.
Operator: The next question is from the line of Kaparis Stathis with Axia Ventures.
Efstathios Kaparis: Congrats for solid execution. I've got one left, actually. Actually, can I follow up on the Romanian tax asset? Is it just above EUR 100 million? If we can confirm that. And then on the Greek operations, can we get a color post PPC entry? What do you see on the ground? And also how close are we in the potential telecom/energy offering from OTE, either combining with Protergia? Protergia has been a potential rumor. If you can comment on that, please.
Konstantinos Nebis: Okay. Let me start with the last question first. So with regards to PPC, I mean, PPC's entrance into the telco market is not a surprise for us. We have been monitoring their efforts since late last year with some pilot propositions as well as go-to-market initiatives. I mean, the only thing that I comment at this point in time is that their footprint remains relatively limited. So they're covering less than 10% of the broadband market. And in these particular areas where we have decided to roll out, a big portion of our customers, be it on retail or wholesale, have already migrated to our fiber infrastructure. When it comes to how they are approaching the market, they are approaching the market with a fixed broadband-only product, while we offer a far more comprehensive portfolio of fixed, voice, broadband, Pay-TV and mobile services bundled in FMC constructs, which have been recently actually enhanced with additional benefits around the ordering, payments, insurance, hardware purchases, you name it. These are all provided by the MagentaONE proposition. By the way, 70% of our fixed broadband base is already in this MagentaONE proposition, receiving all these benefits. And on top of that, and as you indicated already, we have the cooperation with our energy partner, Mytilineos or Protergia, which also provides for another EUR 5 discount per month on the telco bill of our customers who choose Protergia as their energy provider. So all in all, as you understand from my presentation, I mean, we consider so far the PPC challenge as manageable, and we are equipped with an extensive set of differentiating elements in our portfolio to allow us defend our customer base. Of course, always ready to adjust our propositions as per the market dynamics develop going forward. And with regards to the clarification on the Romanian tax?
Charalampos G. Mazarakis: Yes. The exact amount obviously defined, we need to have the transaction completed. But the magnitude is exactly -- or close to what you mentioned.
Operator: The next question comes from the line of Rakicevic Sofija with Goldman Sachs.
Sofija Rakicevic: I have two questions. The first one is on the Greek fixed market. So I'm just wondering how are you thinking about your fixed growth into the second half of the year and into the 2026 given that it has inflected now? How much of this growth will be driven by FTTH and how much by Pay-TV? And how is your recently launched FWA product progressing? That's the first question, all in fixed. And the second one is on the cost efficiencies. So beyond personnel and energy cost savings, do you see scope to increase efficiencies elsewhere?
Konstantinos Nebis: Thank you, Sofija, for the questions. So let me start with the fixed retail market. First of all, I would like to repeat what Babis said before that we are extremely pleased with the fact that our fixed retail service revenues have turned to the positive territory for the first quarter after several periods or years of a weak performance. And we are optimistic that we will stay on the same positive year-over- year territory, at least for the remaining of the year and, of course, looking into 2026. Now it is important that we highlight a few underlying drivers of this turnaround. For sure, the strong double-digit Pay-TV business growth has been one of them. The second thing is that we see an improving fixed broadband growth in revenue, also backed up by the fact that we have turned into the positive territory when it comes to the broadband net adds. So we generated 6,000 net adds this quarter, which is the result of a couple of things. First of all is the great momentum of our fixed wireless product. We introduced it earlier in the year. So far, we have managed to attract 20,000 customers on this product. Actually, we have recently also enhanced this product by adding the voice element which was missing from the service in order to accommodate the needs of even more customers poor copper-served networks. This is one. And the second is, of course, the growing Fiber-To-The-Home base. I mean, we recorded a new outstanding quarter this year, the best net adds that we have had so far. And to a great extent, this is also supporting by demand coupons. So all in all, we are happy that we have managed to turn around the retail fixed revenues, and we remain optimistic for the remaining of this year, but also looking into 2026.
Charalampos G. Mazarakis: Regarding the cost efficiencies, let me clarify here that the root cause for seeing all these reductions in the personnel and the energy is that our primary focus is to transform the way we operate and change the underlying, let's say, processes and workflows, which then resulted to more efficiencies, also using -- start using also the AI tools that we have available. So all this now are gradually being translated, and we see the first signs. And this how then we can operate with much more efficient human resources and energy. On the other side, there are elements in our cost structure which are inflated driven, like the labor-intensive services we buy from the vendors. And the fact that there, we managed to keep it basically stable or slight increases again is due to the fact that we also changed the way we operate. So all this introduction is just to say that the savings we are seeing are sustainable in terms of what we use in personnel and the other areas. On the energy side specifically, we are also benefiting from agreements that we are making. But this is a volatile environment. And although we are introducing quite a few PPAs agreement so we can stabilize our cost, this is an element that although it has helped us in the first quarter -- in the first and second quarter of the year, pending on the developments in this market, we may see some adverse looks in the coming months and quarters. But again, we are protecting ourselves through the PPAs. So this is how the whole cost efficiencies work.
Konstantinos Nebis: If I could add something, especially to pick up on this AI-based operating model transformation. We need to understand that whatever efficiency we have been delivering so far, I mean, AI has played only a small role in some parts of our operating model. We've been having a complete overhaul of our entire operating model, trying to find ways and areas where AI could really deliver a far more efficient way of working going forward. So I would be extremely optimistic looking into the outer years when it comes to how we make the most out of this technology across every single element of our operating model, progressively rolling out in the next, I would say, quarters and years.
Operator: The next question is from the line of Soni Ajay with JPMorgan.
Ajay Soni: This is Ajay here from JPMorgan. I've got three questions. The first around your Romania free cash flow headwinds. You said for the full year, I think you said it was going to be EUR 70 million. So what's the headwind been so far in H1? Second question is around your Fixed Wireless Access net adds. So you've seen good take-up here. Do you expect these to soften now after the summer period? And are these contracts monthly rolling or are they locked in for 12 or 24 months? And the last one is just what's the impact been from the PPC offer so far? And what's that overbuild in your current base from what you can see at the moment?
Panayiotis Gabrielides: Just to clarify, your second question was about Fixed Wireless Access or a different product? Because the line was not very clear.
Ajay Soni: Yes. It's around Fixed Wireless Access. Just you've obviously had a good take-up of this. And do you think that's because of the summer period, in which case, would it tail off into Q4? And then on those contracts, are they monthly rolling? Or are they 12- to 24- month contracts?
Konstantinos Nebis: Yes. I mean, the majority of the customers that signed up to this product are on 24 months contract. So standard, I would say, fixed broadband contract. This is where we see the majority of the customers. I mean, when I say the majority, it could be 99%. This is one. For sure, just before the summer holidays, as Greeks start visiting their second homes, we have a peak in demand. . But at the same time, I mean, the way we have positioned the product and the way we are rolling it out progressively is always trying to find which are the copper-based customers who are not satisfied by the speed, notwithstanding whether these are prime houses or secondary houses, and then approach them proactively or reactively based on demand. So I would not expect that the demand for the product will go materially down, with some seasonality, of course, during the -- before summer months. Now on the third question was...
Charalampos G. Mazarakis: About Romania.
Konstantinos Nebis: No, no, there was another one. Overbuild. I have already commented. I mean, PPCs overbuild is still addressing a small part of our fiber rollout. I mean, in this networks, we have already migrated quite a lot of our customers or at least the ones who need these FTTH speeds to our fiber infrastructure. So I would say immaterial impact so far. Nothing to comment further than that.
Charalampos G. Mazarakis: Your question about Romania, yes, in the previous call, we had mentioned that if we were going to operate Romania for the whole year, the cash flow would have been minus EUR 70 million, 7-0. We expect now, and this is just an estimate, it may change also in the remaining period we have the company, you can estimate that probably we will deplete close to EUR 60 million out of this. But this all depends on the timing and the payments because of working capital undertakings.
Ajay Soni: Okay. So if the EUR 60 million already gone then, there's not a huge amount of free cash flow upside for your full year from selling this asset in October then -- or September, October time?
Charalampos G. Mazarakis: Yes. Well, the amount is skewed because there are certain working capital undertakings and obligation undertakings that need to be satisfied in order to be able to complete the transaction. So out of the initial, let's say, thought, probably we will have about EUR 10 million to EUR 15 million unused out of this.
Operator: The next question is from the line of Karidis John with Deutsche Bank.
John Karidis: So I've got some OpEx and CapEx questions, please. So firstly, regarding the -- actually and revenue question. So regarding the revenue erosion because of national wholesale, so the national wholesale revenue erosion, what was it last year? What do you expect it to be this year? And to an extent, how do you expect that to be affected by the FTTP wholesale agreement that you have? Secondly, regarding the FTTP wholesale agreement, are your partners, Nova and Vodafone, pulling their weight? Or do you think that OTE might need to spend extra CapEx to cover any gaps in geographic coverage, for example? Thirdly, regarding the linking of the COSMOTE and the TELEKOM brands, are you likely this year to incur exceptional costs, exceptional OpEx in order to boost customer awareness? And if so, what would be the details? And then lastly, what's the outlook for personnel cost savings this year and in future years, please?
Konstantinos Nebis: Thank you, John, for the questions. So let me start by taking some, and then, Babis, feel free to chip in. So as far as the wholesale developments are concerned, let me highlight a few things. So we have had a record high quarter when it comes to our FTTH net adds in wholesale, so 34,000 net adds compared to 28,000 in last quarter, which was another a record quarter, which is a validation, I would say, of these wholesale agreements working and both Vodafone and Nova moving -- using our infrastructure where they are addressing the retail customers. When it comes to how they're rolling out, they are rolling out more or less in line with our expectations vis-a-vis the wholesale agreement volume discounts. So nothing to flag there as a potential risk. Moving on to the branding topic. I mean, yes, this year we have been investing a bit more in marketing, but this is more, I would say, related to the market competitiveness, which is stronger and heavier compared to last year, and also the need to support a number of initiatives, including our repositioning in the market in order to strengthen our position and differentiate ourselves stronger. So this is it, I would say. So whatever you see as a result of a number of different initiatives, initiatives that were new in the market, that we have to bring in order to support our new positioning, are effectively justifying this extra investment in half 1 this year compared to half 1 last year.
Charalampos G. Mazarakis: On the -- let me take the next two questions. For national wholesale, our forecast -- first of all, in the first half of the year, the national wholesale went down by almost EUR 7.5 million, this in line -- EUR 7.7 million is the exact amount. That was in line with our expectations for the year. We should expect an amount of about EUR 15 million, which is not very different versus what it was in the previous year. I must say that this one has been partially mitigated by the fact that because of the -- just because of the wholesale agreement, we have -- we are buying -- we are wholesaling now lines that are in the FTTH versus what it was before in LLU or copper. So this is a mitigant factor that allows us to partially offset, of course, the natural reduction of the asset lines because of competition migrating to their own network. On the personnel, I can say that if we look in the back, we see that this optimization and transformation we are doing is helping us to reduce the human resources costs. And the trajectory we saw in the first half, we should expect this also to be more or less the same also in the second half. Now looking forward in the next years, as we said, the aspiration is that we will continue to optimize and transform. I cannot put a specific number of reduction for 2026 versus '25. But we should see again personnel costs being lower in '26 versus '25 exactly because of this transformation in the natural attrition.
Operator: The next question is from one of our webcast participants, from Mr. Piotr Raciborski with Wood & Co. And I quote, "Assuming the Telekom Romania deal is closed in third quarter '25, what should be the impact of the sales on your CapEx and FCF expectations for 2025?"
Charalampos G. Mazarakis: This is the -- on the CapEx, it will depend. What will be the amount is roughly about EUR 15 million to EUR 20 million, the CapEx that will have been completed, but this is something that remains to be seen. On the free cash flow expectation, as we discussed before and that we have actually clarified back in our previous call, if we take out entirely Romania out of this year, from what we had communicated in our previous call, the performance of Greece, the free cash flow of Greece, it would have been around EUR 530 million. And by taking out the EUR 70 million that we had expected for Romania, this is how the EUR 460 million, which our guidance and the distribution level was taking out. Obviously, all these numbers are subject to completing the transaction. I want to stress it because the timing is very important when we will sell the business. This is when the effect of Romania will go out. But in the grand scheme of things, these are the underlying numbers.
Operator: [Operator Instructions] The next question is from the line of Memisoglu Osman with Ambrosia Capital.
Osman Memisoglu: Just on fiber coupons, is it possible to give some color on how many more quarters of support should we expect? And related to that, given the strong fiscal position and continued focus on digitization by the state, when this runs out, could we expect a similar program or something in that range to continue to support the sector?
Konstantinos Nebis: Thank you, Osman. As far as the coupons are concerned, we have already commented on this one, but let me repeat the figures. So we have two coupons. One is the demand coupon, which goes straight to the consumer. There, we have already consumed roughly 70,000 coupons, well on track to reach 100,000 or slightly more by the end of the year, which is roughly 50% of the market. And the other part of the coupons goes to the in-building installation. There, we have already processed roughly 30,000 and we intend to go up to 40,000 or slightly more by the end of the year. So both coupons are progressing well and in line with our expectations that we have baked into our planning at the beginning of the year. Now with regards to the ICT business, the truth is that we have delivered another double-digit growth quarter. To a great extent, this is on the back of a number of digitization projects for the public sector. There is still room to grow both towards the Greek public sector but also the European public sector. We have a strong presence in Brussels. So both these, I would say, areas will feed our growth, at least for the next year or so. While at the same time, we are positioning ourselves stronger in the private sector, focusing on particular verticals like security, for example. We are doubling down on people investments there, but also on how to help the businesses make the most out of AI technology. So we feel confident that both towards the public, local and Brussels but also towards private sector, we have enough growth levers looking into the next years.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Konstantinos Nebis: I would also like to thank you for your attention, questions as well as a lot of interest in OTE. We are looking forward to our next discussion which is scheduled for November, commenting on our third quarter results. In the meantime, have a nice day. And for the ones not yet there, enjoy your summer holidays. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good afternoon.